Operator: Good afternoon and welcome to the Digital Turbine Report Fiscal 2024 Third Quarter Results Conference Call. [Operator Instructions] Please also note that this event is being recorded. At this, I would now like to turn the floor over to Brian Bartholomew, Head of Investor Relations. Please go ahead.
Brian Bartholomew: Thank you. Good afternoon and welcome to the Digital Turbine fiscal year 2024 third quarter earnings conference call. Joining me today on the call to discuss our results are CEO, Bill Stone; and CFO Barrett Garrison. Before we get started, I would like to take this opportunity to remind you that our remarks today will include forward-looking statements. These forward-looking statements are based on our current assumptions, expectations, and beliefs including projected operating metrics, future products and services, anticipated market demand and other forward-looking topics. Although, we believe that our assumptions are reasonable, they are not guarantees of future performance and some will inevitably prove to be incorrect. Except as required by law, we undertake no obligation to update any forward-looking statements. For discussion of the risk factors that could cause our actual results to differ materially from those contemplated by our forward-looking statements, please refer to the documents we filed with the Securities and Exchange Commission. Also during this call, we will discuss certain non-GAAP measures of our performance. Non-GAAP measures are not substitutes for GAAP measures, please refer to today's press release for important information about the limitations of using non-GAAP measures, as well as reconciliations of these non-GAAP financial results to the most comparable GAAP measures. Now I will turn the call over to our CEO, Mr. Bill Stone.
Bill Stone: Thanks, Brian, and thank you all for joining our call tonight. I'm going to break my remarks into three areas. First, I want to summarize our December results. Second, I want to describe the current state of our technology migrations and operations and changes we are making to improve our execution. And finally, I want to discuss the progress we're making against the future opportunities, which are very encouraging. For the December quarter, we achieved $143 million of revenue, $25 million of EBITDA, and $0.15 of non-GAAP earnings per share. We finished in line with our outlook expectations for our HEP business, but were below our expectations for our ODS business. We experienced three unique issues in our ODS business late in the quarter that were the difference between coming in below versus above our overall outlook. First, despite our forecast in U.S. device sales, to continue facing headwinds year-over-year, they were even more disappointing than what our conservative expectations were. Secondly, we finalized the migration of our cloud hosting platform late in the quarter. The good news is that this is a major milestone is now complete. However, some elements of our software that were working fine on our prior platform were not performing to the same on the new platform for a few weeks. These issues have now been fixed. And finally, we made some changes to our AI machine learning models for the holidays to drive improved engagement from our customers. The good news is that the engagement happened, but it happened at the expense of advertisers willing to pay more money to be on the platform for the holiday season and less focused on engagement. Combined, these three things were the difference between our results being below versus above our outlook. I'll discuss later in my remarks what we are changing to improve our execution going forward. But we do view all three of these issues as temporary in nature and not structural. From a segment perspective, our AGP or ad tech business showed sequential growth driven by improved eCPMs rates from our advertisers, despite our sunsetting of our legacy AdColony exchange. And now we are fully operational on our consolidated DT exchange. We are also now seeing growth from our new features, such as SDK bidding, contributing more material revenues to our business. Bigger picture, we are seeing demand and advertisers return, which is much improved from 12 months ago. In particular, our brand business experienced more than 25% sequential growth, despite one of our largest brand advertisers having their own temporary internal issues that impacted their spend on ours and others' networks. I'll provide more color later in my remarks on how we will continue to grow and scale our AGP business. The ODS business declined by 2% in the quarter, driven by short-term issues described above. With one US carrier exception that was only marginally up, our US operators had declined in devices from the prior quarter, which is unusual, given it was the holiday selling season. We have heard some recent encouraging reports from chipset suppliers on future device volumes, which tend to be lead indicators for future demand. So we are hopeful for better trends into the future. But for now, it is a major headwind, and it is reflected in our guidance for the March quarter. In addition to this, we are working to expand our device pipeline. I'm pleased to announce that we are expanding our relationship with Motorola with more devices in more countries, and also our relationship with ONE Store in Korea that will add nearly 40 million devices with SingleTap capability. Our pipeline remains robust, and we look forward to sharing more device supply opportunities into the future. Improving revenue per device outside of the United States to mirror where we are seeing in the device growth is a top priority for us. We also made progress with different advertisers on SingleTap in the quarter as we continue to expand with new contracts and new advertisers. We are not yet live with our large social media partner pilot. It is not any operational or technical issue preventing us from launch, but a final administrative issue that is being worked on their side. The relationship with that party continues to be positive and becoming more strategic, but we understand the frustration we are all feeling on translating this enthusiasm into revenue. I want to spend a few moments describing the changes we are making to improve our short term execution that will drive future growth. Our issue is unique and it is neither the what or the why. We are confident that we are working on the correct items as we can demonstrate product market fit and also how to make money on those things we are prioritizing. We also have a very clear vision on the why we are here. Digital Turbine can be a major disruptive force in the alternative app distribution with our unique assets and subject matter expertise. Most companies facing headwinds suffer from one of those two issues. We are unique as those are not our issues. Rather, we have two things we need to do to improve our execution which will drive future growth and cash flow. The first is the material investment we are making on the modernization of our tech stack which impacts short term results and the second is how we are working to execute. We need to demonstrate the ability on how we ramp new things into the market at scale to replace the exited businesses and the headwinds described earlier in my remarks. Those require new systems, new processes and new leadership models. On the tech stack modernization, we have approximately 40% of our product and tech organization working on building for the future versus working on short-term, non-strategic revenues. We're seeing early positive results from these modernization activities with things like our exchange consolidation, our hosting migrations, new ERP systems, and so on now live in the market. But we still have much work to do as we are implementing a lighter, more modular version of Ignite, a new demand side platform, or DSP, new backend tools that will scale our AI and machine learning efforts on the platform, and so on. All of this work is mission critical to build a long-term company that will scale to all of our expectations, and we have made a conscious decision to prioritize this work. I want to be clear that it does come at the expense of a few items that could drive short-term revenue in EBITDA, but for long-term investors, I want to emphasize the importance of finishing the swing on these things, and you will see continued progress over the upcoming quarters as we are very close to completing these activities that have been in the works now, in some cases, for many years. In addition to the system level work, we're also changing our leadership model, our organizational structure, making some leadership changes, changing our internal processes for decision making, and finally, improving our focus on the things that are going to drive short and long-term growth. And as we change these things, we are confident that the revenue and cash flow will follow as we know we have demand for our offerings in the marketplace. We are laser focused on these changes, which are being implemented in the current quarter, and these how things are working to change the what we're willing to be for the catalyst of returning Digital Turbine to a growth company. And what makes all of this worth it is the bright future. We are uniquely positioned with our on-device technology, including our first-party data, our AI machine learning tools, and SingleTap, plus our extensive publisher relationships and our operator and OEM relationships. We've launched our first alternative app distribution products, which we brand as DT Hub, with five operators here in the United States. We are leveraging our Aptoide investment and are generating revenue today. And as a reminder, our equity investment in Aptoide is now approximately 20%. We've also taken a minority investment in Flexion so we can improve our partnership on building great alternative app experiences as Flexion is a leading porting source for many alternative apps stores, such as Amazon, Samsung, Huawei, Xiaomi, and many others. And finally, many of you may have seen our press release from yesterday that we are also taking an equity stake in ONE Store. ONE Store is the largest alternative app store in Korea, and for context for investors not familiar with them, they generate more revenue than Apple does in Korea for the Apple App Store. We are beginning our relationship with ONE Store by enabling SingleTap on all of their 40 million Korean devices. And this has three benefits. One is that it will allow us to leverage our DSP to deliver friction free app downloads of alternative app versions to Korean customers. Secondly, it's a way for us to expand the scale of developed market device applied versus being constrained with the issues I mentioned here in the United States. And finally, we'll look to enhance our partnership with ONE Store into the future outside of Korea and combined with our Aptoide and Flexion relationships, we have the building blocks to be a dominant force in the alternative app market. And as a reminder for investors, the Digital Markets Act or DMA will be launching in early March in the EU, and we would encourage investors to pay close attention to the launch and the opportunities that it will present. I also want to emphasize that the alternative app strategy is not just about new revenues, but perhaps more importantly, will also be a catalyst to return our current business to growth. Today, approximately 50% of our business is driven by user acquisition and 50% driven by in-app advertising. Our app providers want to find ways to acquire more users at lower cost with those alternative users, and we believe that this will open up new app providers to leverage our ad tech stack as part of this strategy, thereby driving more AGP or ad tech revenue growth. We are live today running both alternative app user acquisition campaigns and in-app advertising, leveraging our technologies into our current results. In other words, improving our present revenues and cash flows are both closely linked to the future strategy. To close out my preferred remarks, our future continues to be very exciting, but we need to improve our short-term execution and return our business to growth. We have many specific growth drivers from devices, products, media partners, and cost optimization activities in flight that will accomplish that this year. Those things are the things that are going to return DT to a growth company in the short term while we continue to pursue our very bright, longer term vision. And with that, that'll conclude my prepared remarks and I'll turn it over to Barrett to take you through the numbers.
Barrett Garrison: Thanks, Bill. And good afternoon, everyone. Total revenue of $142.6 million in the quarter was flat sequentially and down 12% year-on-year. Within our on-device solutions, or ODS segment, revenues of $94.3 million were down 2% to prior year, December quarter. These results were below our expectations we provided on our November earnings call, largely due to further softening in U.S. carrier device volumes during the holiday season, even against our conservative outlet. Combined with the temporary execution issues, Bill referenced stemming from certain platform integration efforts. These headwinds were partially offset by continued strength from improved U.S. revenue per device growth year-on-year. Our content media revenues were slightly up sequentially in the quarter. And while this part of our business has experienced headwinds from the prepaid content media from a year-on-year comparison, this headwind was fully lapped in the December quarter. We're encouraged by both the developments of our new partnership that Bill shared and our robust pipeline, providing the opportunity to leverage our existing device footprint and grow revenues on new supply, particularly outside the U.S. In our app growth platform, or AGP business, Q3 revenues of $49.2 million, which performed in line with our guidance expectations, grew 6.5% sequentially and declined 27% over prior year. We saw improving signs of spend levels, particularly within brands, evidenced by greater than 25% sequential revenue increases. While the overall decline in AGP year-on-year continues to be impacted in the short term by the consolidation and exiting of certain legacy business lines that we have discussed previously, we're pleased that as of the beginning of this calendar year, the revenue lines have been integrated and fully operational onto our consolidated DT exchange. I'd reiterate Bill's earlier comment that despite the near-term headwinds, we're encouraged by the platform consolidations we're making to bring the businesses together and expect these actions to have a positive return on our future growth. Our consolidated gross margin was 45% in Q3, which was down 180 basis points sequentially from Q2 and compares to 50% from Q3 in the prior year. Sequentially margins were influenced by modest ODS product mix shifts, where we experienced an increase in the mix of certain lower margin products. Last year's Q3 results also included the benefit of a contractual revenue share adjustment with an ODS partner, not repeated in this quarter. Within AGP, we saw strength year-on-year in expanding margins of 500 basis points from improvement in overall brand margins and favorable product mix within the segment. As a reminder, while gross margin rates can fluctuate from quarter to quarter, we generally anticipate long-term margin expansion as we continue to execute on our gross strategies. We remain disciplined with expenses, and cash operating expenses were $38.8 million in Q3, a reduction of 6% from prior year, and represented 27% of revenues in the quarter. In the period, we incurred lower than normal performance compensation expenses, and total GAAP operating expenses were $72.9 million, which were up 4% compared to the prior year, driven primarily by business transformation costs that we've discussed previously. Lean to the initiatives focused on integrating the technology platforms and back office systems across our assets. While the recent periods have incurred increased costs due to the completion of these efforts and new growth initiatives, we expect both the efficiencies and growth to begin to be reflected in our results throughout fiscal 2025 and beyond. During this phase, we remain highly focused on operating efficiency and are encouraged by the savings we're realizing from these platform consolidations. Turning to profitability, our adjusted EBITDA of $25.4 million in the quarter declined $2.2 million sequentially and was down from $40 million in the prior year, driven primarily from lower revenues and partially offset by a reduction in cash OpEx. Our EBITDA margin of 18% compared sequentially to 19% in the September quarter. Given the inherent operating leverage in our business model, we expect the active focus on expense measures and integration efforts we are taking will strengthen the platform as we return to growth and enable a greater portion of those dollars to fall to the bottom line. In the quarter, we achieved non-GAAP adjusted net income of $15.7 million or $0.15 per share as compared to $30 million or $0.29 per share in the third quarter of last year. As compared to prior year, we incurred greater interest expense driven by rising rates and partially offset by lower outstanding debt balance. Our GAAP net loss was $14.1 million or a negative $0.14 per share based on 103.3 million diluted shares outstanding compared to prior year net income of $4.1 million or $0.04 per share. $14.1 million in free cash flows generated for the quarter enabled us to execute three with $49 million in cash after paying down an additional $10 million in debt using free cash flow from operations to further deleverage our debt position. Our debt balance into the quarter at $376 million drawn on our revolving credit facility. Also, in support of the key growth initiatives we've discussed, specifically around the pursuit of our alternative app store, strategic opportunity, and realizing the benefits from consolidating and modernizing our tech platforms, we recently amended our credit facility to provide additional flexibility and to align our capital requirements with the overall business needs. With these enhancements, we are confident in our ability to execute on our growth plans, and we continue to focus on balancing growth opportunities and cash flows to optimize financial performance and long-term enterprise value. Before covering our outlook, I wanted to provide some visibility into our guidance assumptions. Within our revenue guidance, we anticipate the headwinds associated with volume device declines to continue into Q4, principally on U.S. operators. While we believe future devices trends should improve, we've seen accelerating declines early in the March quarter, and at this time have limited visibility to the performance of the recent Samsung flagship device launch, and therefore we have further tempered our ODS volume expectations. We are optimistic about the future revenue growth from new partners and the successful execution against our pipeline in FY25. However, we do not expect material new revenues from these partner launches in our March quarter. I'd also point out as a reminder that in addition to the typical historical seasonal sequential impact experienced in Q4, with the exchange platform migration now completed, there will be approximately a $4 million in sequential revenue migration headwind from the completed exchange platform consolidation in Q4. And as we've highlighted previously, we're encouraged by the future benefits of this integration. Now let me turn to our outlook. We currently expect revenue for full year fiscal 2024 to be between $547 million and $553 million, and adjusted EBITDA to be between $90 million and $94 million, and non-GAAP adjusted net income per diluted share to be between $0.50 and $0.54, based on approximately $104 million diluted shares outstanding and an effective tax rate of 25%. With that, let me hand it back to the operator to open the call for questions. Operator?
Operator: [Operator Instructions] And our first question today comes from Darren Aftahi from ROTH MKM.
Darren Aftahi: Hey guys, thanks for taking my questions. Just to clarify, if I may. I know the first one may not be an easy one to answer, but it seems like the device headwind is pretty persistent. I'm just kind of curious, are there any kind of green shoots you're seeing in the market? I know, Barrett, you've made some comments about accelerated declines in the U.S. But any kind of sense for when this kind of reverses itself? To, Bill, your comments about the tech stack, I'm just kind of curious, when are we going to be fully complete with implementation of that? And the just lastly, on the open app store initiatives and some of the stuff you're doing and investing in, when do you think that's going to start to have an impact on your P&L in a more material way? Thanks.
Bill Stone: Yes, thanks, thanks, Darren. I'll jump in on those and Barrett can provide any color, on the device headwinds. Yes, here in the United States, we saw a double digit year-over-year declines with our U.S. partners, which was something that we weren't expecting that precipitous of a decline, even though we'd forecasted one. So that continues to be an issue for us. And as Barrett referenced in his comments, January was off to a slow start, which reflects some of the things you saw in our outlook. The first weekend was encouraging for the S-24, although weekend does not make a trend. We'll see, but we want to make sure that we're being extra cautious regarding that. Based on some of the comments we've heard from chipset suppliers, it sounds like those device supplies will get better as the year goes on. Also, as we start seeing anniversary and out of three year anniversaries of lease contracts here in the United States on both Apple and Android devices from the US operators. I think we'll also be helpful. And then the thing for us is rather than get focused on those uncontrollables, what can we control? Well, we can control getting more devices in places like Korea that I mentioned. We can also expand our relationships with some of our other partners. We can take advantage of a pretty attractive competitive environment right now with bringing on new device supply. So we're really focused on doing that right now versus being relying upon some of the operators here in the United States. On the second question regarding the tech stack, it's going to be rolling. So every quarter you're going to see improvements from us. My expectation is it over the next 12 months that it'll be done. But you're going to see material improvements in the next quarter when we get on the call and in the following quarter and the following quarter and so on. It's a super high priority for us because in order to get to the business that we all want to get to a real scalable business, we've got to create a lighter, more modular tech stack, be able to take advantage of all the data science and learnings on that. And those things are in flight. And I'm pleased that we're making good progress. The issue is it's just right now; it's cannibalizing some very, very short-term issues where we could perhaps have some improved revenues, but it's absolutely not the right thing to do to just get too focused on the short-term and the expense of where we want to go with the business. And then finally on the App Store P&L, it is already in our business. We're already seeing rough, let's call it roughly a seven figure run rate of revenues from the alternative App Store business. I mentioned my remarks that we're running now campaigns through our pipes in terms of on the ad tech side as well as the in-app purchasing side and the user acquisition side. So this is not academic. It is early days as we get into 2024, I think you're going to see it to be a more material growth driver and begin building each quarter for us.
Operator: Our next question comes from Omar Dessouky from Bank of America.
Omar Dessouky: Hi guys, thank you for taking my question. I was intrigued by your partnership and your investment in ONE Store. And I was hoping that you could talk about the economics of the deal. For example, what's the fee structure like, price per install, revenue share, things like that. And then secondly, what part of the consumer journey are you going to be involved in with regards to, I guess Korean customers. Is it just going to be the app install, or the in-app ads or potentially the in-app purchases as well?
Bill Stone: Yes, sure, Omar. Yes. So we're viewing our relationship with ONE Store, this really phase one of something that we were planning to do something bigger with those guys as we get into the future. And I think that as we, as the Digital Markets Act becomes live over the next 30 days or so, we're looking forward to really collaborating with them in the EU with the opening up of Google Play Store and Apple Store there. So I'd kind of stay tuned for something more strategic, more tactically in Korea, we've got to really do three things. We've got to number one; we've got to show that we can improve our dice biomes as I just answer on the prior question from Darren. And this helps us get our tech on about 40 million devices in Korea immediately, we can do that kind of as one fell swoop. Number two is we can drive user acquisition now with SingleTap, so we can be able to acquire more users into the ONE Store with those alternative apps leveraging our DSP and our ONE Store capabilities and a friction freeway for Korean customers. And then number three, we can work with the local app publishers in Korea and then get our own in-app advertising tech stack onto those, whether those are games or other types of applications and now it provides a new revenue stream force on our AGP side. So those are really the things that we're focused on. I am not obviously going to disclose any specific terms of how we're working the revenue with ONE Store other than say that I think it's a good win-win partnership for both sides.
Omar Dessouky: And could I just ask as well, how should we think about the strategic value of these deals kind of coming together, right? You have the Aptoide, you have ONE Store. How do we think about synergies and the strategic value across regions and with multiple assets now?
Bill Stone: Yes, I think what's important for investors is if you believe that the alternative app store space is going to grow and be extremely disruptive over the upcoming years, which obviously we believe that, we believe we're uniquely positioned in partnering with the companies that continue to bring the capabilities because in order to enable this, there's a lot of things behind the scenes that have to happen, whether that's porting the apps into the alternative versions, managing the payments, doing it in a friction freeway with customers, having the publisher relationships to do multi-variants, I can go on and on about all the different things. But anybody that wants to do that, whether it's us direct or whether it's with other mega cap tech companies that have ambitions to go do this, there's a lot of those plumbing and electricity things that have to happen that make us super uniquely positioned to go out and help enable that. So now having these relationships with these companies all together is something that I think is going to make it easier for a one-stop shop for any app publisher to come to what we're doing to be able to solve the single biggest issue they have on their P&L, which is the egregious 30% tax that is getting paid to the two that are running the duopoly today.
Operator: Our next question comes from Dan Day from B Riley Securities.
Dan Day: Yes, guys, thanks for taking the question. So Bill, in the prepared remarks you talked about changes in leadership and new org structure. Just it would be great if you could elaborate on that are you planning to bring in totally new people to run certain business lines, just sort of switching around positions or reports. It should be good to get a sense of what you're looking to accomplish with those changes.
Bill Stone: Yes, absolutely. I think the biggest issue we need to improve our execution is just getting alignment around the organization. So we need to make faster decisions. We need to have clearer accountability in what we're driving right now. So one of the things we're going to be doing is moving our business into a GM model where we'll be able to have clearer accountability to make results and drive the short-term profit and loss for different business lines each quarter. So we're making leadership changes to accomplish that, but this is really about us just getting better focus externally with our customers and better alignment internally between our different functions. And so we've got to change what we're doing and we've done a nice job assembling the companies, the legacy companies we've acquired and now have standardized a lot of things of how we've worked versus the legacy DT way versus the AdColony way versus the fiber way and so on. So now we're at a point and now where we can take that standardization and now decentralize that standardization out that's closer to customers and have clear accountability internally to who's making decisions. So what we're doing is really aligned around that.
Dan Day: Okay, great. Thanks. And then just for me, you've consistently said that US RPD is sit around over $5 for the last few quarters. Has that helped pretty steady even if devices have been a lot softer than you thought?
Bill Stone: Yes, device RPDs have been pretty consistent. They were marginally down in the December quarter from the September quarter and that was 100% driven by those two execution issues I mentioned earlier in my remarks. If you take out those two issues, it would have accrued it again.
Operator: Our next question comes from Anthony Stoss from Craig-Hallum.
Anthony Stoss: Hey, Bill, I just wanted to follow up on your comment about why the SingleTap trial wasn't live. You talked about administrative issues. Can you give us a little bit more color on that when you expect that to be resolved? And then I had a couple of follow-ups.
Bill Stone: Yes, sure, Tony. Yes, we, as we know, we've all been impatiently waiting for us to go live and we'd work through the kind of final tech and ops issues, yes, that may be confident and talk about it. Yes, there's a final administrative decision that the partner wants to make with some other considerations that they're looking at bigger picture and they're going through that internal discussion right now. So as soon as that discussion is done, then I expect us to go live with the pilot. I don't have a timeline at least given our past here that I want to commit to on the call today, but I would just consider it to say it's important for both sides to work through that.
Anthony Stoss: Got it. Then maybe, this is probably more for Barrett, for your March guide, the down sequential revenues, can you break out how much of the decline was from ODS or your expectations versus AGP? Are they both down equally or is one worse than the other? Just a question.
Barrett Garrison: Hey, Tony. Yes. Here's what I would say. We obviously don't guide by segment, but I would say our seasonality is that if you look back at our seasonality for AGP business, it's relatively constant. We got a little bit of headwind I mentioned on as we completed the consolidation of the exchange. The real factor that on the change is kind of an accelerating decline on the Q4 US devices that we've contemplated in our guidance.
Anthony Stoss: Got you. And Bill, back to you. Just curious if you could talk about what you're seeing in the competitive environment. If one source is having issues or not, just what you expect, and then I had one last question after that.
Bill Stone: Yes, I think in the competitive environment, obviously there's been a lot of announced changes out there in the market for one of our competitors. So we're looking at that as an opportunity for our business, especially as we talked about this softness in US device supply. And while we expect that to rebound by some of the things, I was talking about with chipset suppliers and flagship devices and all that, we also have to take matters in our own hands. And so we're viewing some of those changes happen in the macroenvironment with some of the competitors as a positive for us. And there's a lot of encouraging things going on in the pipeline right now.
Anthony Stoss: Got you. And then hopefully you can answer this or give everybody a sense. It's been a frustrating stock for some time. Numbers keep going down. When you look over the next 12 months, so fiscal 2025, would you expect at least revenue growth in ‘25 over ‘24?
Barrett Garrison: Tony, your question around run rate growth?
Anthony Stoss: No, just fiscal year 2025 revenue is your next, call it June through the next March quarter. Do you expect growth? Given everything that's going on in the tech stack and the issues that's created?
Barrett Garrison: Yes, all the things we're working towards, all the things we have in our planning and execution that we talked about are to drive growth next year. And that would be the expectation.
Operator: And ladies and gentlemen, with that, we'll be ending today's question and answer session. I'd like to turn the floor back over to our CEO, Bill Stone, for any closing remarks.
Bill Stone: Yes, thanks everyone for joining the call tonight. We'll look forward to reporting on our progress against all the points we made on the call tonight. And we'll talk to you again on our fiscal ‘24 fourth quarter call in a few months. Thanks, and have a great night.
Operator: Ladies and gentlemen, that will conclude today's conference call. We thank you for attending today's presentation. You may now disconnect your lines.